Operator: Good morning, and welcome to the World Acceptance Corporation's Sponsored First Quarter Press Release Conference call. This call is being recorded. [Operator Instructions]. Before we begin, the Corporation has requested that I make some following announcement. The comments made during this conference call may contain certain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 that represent the corporation's expectations and beliefs concerning future events. Such forward-looking statements are about matters that are inherently subject to risks and uncertainties. Statements other than those of historical fact as well as those identified by the words anticipate, estimate, intend, plan, expect, believe, may, will and should or any variation of the foregoing and similar expressions are forward-looking statements. Additional information regarding forward-looking statements and any factors that could cause actual results or performance to differ from the expectations expressed or implied in such forward-looking statements are included in the paragraph discussing forward-looking statements in today's earnings press release and in the Risk Factors section of the Corporation's most recent Form 10-K for the fiscal year ended March 31, 2018 and subsequent reports filed with or furnished to the SEC from time to time. The corporation does not undertake any obligation to update any forward-looking statements it makes. At this time, it is my pleasure to turn the floor over to your host, Chad Prashad, President and Chief Executive Officer.
Chad Prashad: Good morning. This is Chad Prashad. I'm excited to be on my first call as President and CEO of World Acceptance Corporation. I'm joined here with John Calmes, who is our CFO. Hope you've all had time to review the press release and the earning script and so at this time, I'll go and open it up to any questions you have.
Operator: [Operator Instructions]. We'll take our first question from Vincent Caintic with Stephens.
Vincent Caintic: Thanks good morning guys and Chad welcome onboard. I'm just – I guess the first broad question Chad is if you could maybe – you are the CEO, if you could discuss kind of your vision and priorities for the Company in the near term and the long term, of any changes from where we've been going in the most recent past? Thanks.
Chad Prashad: Good morning. Thanks for the question. So, I've been with World for four years and we've made a lot of changes over the last year or two. Hopefully you guys have begun to see the results of some of our investments and the changes we've made to our strategy. My plan is to continue to do those changes. My vision for the Company is that we continue to improve our communities, by offering the millions of those of you who don't have access to credit that doesn't come from a payday lender or doesn't come with the expectation of losing their vehicle with a default. So, we want to continue that vision. The things that have broader success are hiring talented people, investing in high-performing teams, providing quality data and insight to make better decisions at all levels of the Company, and one of the biggest things for us has been providing flexible infrastructure to get those decision out, you know amongst the field. So, we want to continue those things going forward. We believe there is a lot of potential serving the segment of population that we're currently in. This past quarter, I believe it's mentioned in the earnings release or sorry in the script. We've increased our new customers by about 20% year-over-year and we've seen success in the current segment we're in without having to move in the larger loans with lower yields. So, while that's a possibility in the future, for now we are focused and continuing to deal with broader success recently.
Vincent Caintic: Okay. Great. Thank you. My next question on the mix of business and particularly on the sale, maybe if you could describe the decisioning around selling that business in particular I think was an impairment you took and then the I guess keeping the loss by indemnifying the buyer, just kind of wondering what were your thoughts in terms of why the sale and then any plans for the proceeds. Thanks.
John Calmes: I can take that question Vincent. It's only – when we looked at selling the Company, the way we approached it was, do we feel like the returns from Mexico in the future, we'll see our cost of capital. I think as we said in past earnings calls, we were winding down the Viva business and currently we still have revenues from the Viva business, but those will continue to diminish over the next 6 months to 12 months. As it happens, while we can reduce some of the cost related to the Viva business, it's not proportional. So, we are expecting to see our returns diminish in that business in the future. So, we thought is the right decision that to sell the Company. So, there was an impairment taken on the sale, but as you can in earnings release, the vast majority of that was the currency translation, the adjustment that's been held in equity and builds up in equity over the last 12 years. Yeah, so while that had a negative impact on equity in this quarter, once the sale is completed, equity goes up by that amount, so it's equity neutral once we complete the transaction. We tend to sort of ignore that number to a large extent.
Vincent Caintic: Okay. Got it. Is there – if you could help us with modeling going forward what we should be thinking about from Mexico in terms of the, we can go through the revenues, expense and so on, just what should we be taking out on, so if we get to the U.S. go-forward basis?
John Calmes: I'm sure there's a comment mentioned in our fillings, so it's – when you look at this segment reporting from past years or taking in – this quarter represented just the continued operations, right. So, the Mexico results have been stripped out of our income statement or [indiscernible] discontinued operations, so going up, probably your best place to start.
Vincent Caintic: Okay. Got it. Thanks guys.
Operator: [Operator Instructions]. We'll go next to John Rowan with Janney.
John Rowan: How do you guys feel about the price you got from Mexico and what other deals did you possibly use as a comparable to look at you know to look at the business and was the $45 million you received for it?
John Calmes: Right. So, I think you think about it always like to get a higher price than they got right. But we – try to get the best possible price we could and this is where we landed.
John Rowan: Okay, was it in open process to find a buyer or was it a limited you know a limited marketing of the business?
John Calmes: It was – I can sort of say that it was a lengthy process.
John Rowan: Okay. And then I know you said you are not going to comment on share repurchases, but maybe just if we – I guess the assumption would be that the you know the guarantees that you've given to the buyers about Mexico, maybe you are holding off on share repurchases. I mean is that an appropriate comment or you know do we just have to wait until the Mexico Investigation is over, really see any potential for the repo activity to resume?
John Calmes: I think that's something that we reassess that position on a regular basis. And we'll continue to do that going forward. Yeah, I think it's probably a fair assumption to think that they won't resume until after the investigation is resolved, but at the same time and we'll continue to reassess. If we feel comfortable restarting with the buybacks prior to that, we could do that.
John Rowan: Okay. Thank you very much.
Operator: [Operator Instructions]. With no further questions in the queue, I'd like to turn the call back over to Chad Prasad with any additional or closing remarks.
Chad Prashad: Thank you, guys, for joining us on the call today. We continue to be very optimistic about the U.S. business going forward and focusing here. With the sale of Mexico, allows us to really shift a lot of our efforts here towards what we believe is the best investment for us, you need to be in the U.S. We're very excited about the prospects we have going forward. And appreciate the time this morning.
Operator: This does conclude today's conference call. We thank you for your participation you may now disconnect.